Operator: Greetings and welcome to the TransAct Technologies Second Quarter of 2024 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] This conference is being recorded. It is now my pleasure to introduce your host, Ryan Gardella, Investor Relations. Thank you, sir. You may begin.
Ryan Gardella: Thank you. Good afternoon. Welcome to TransAct Technologies’ second quarter 2024 earnings call. Today, we will be discussing the results announced in our press release issued before market open. Joining us from the company is CEO, John Dillon; President and CFO, Steve DeMartino. Today’s call will include a discussion of the company’s key operating strategies, the progress on those initiatives and details on our second quarter financial results. We will then open the call to participants for questions. As a reminder, this conference call contains statements about future events and expectations, which are forward-looking in nature. Statements on this call maybe deemed as forward-looking and actual results may differ materially. For a full list of risks inherent to the business and the company, please refer to the company’s SEC filings, including its reports on Forms 10-K and 10-Q. TransAct undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances that occur after the call. Today’s call and webcast may include non-GAAP financial measures within the meaning of SEC Regulation G. When required, reconciliation of all non-GAAP financial measures to the most directly comparable financial measures calculated and presented in accordance with GAAP can be found in today’s press release as well as on the company website. And with that, I’d like to turn the call over to John.
John Dillon: Thank you, Ryan. Good afternoon, everyone, and thank you for joining us today. I'm pleased to announce positive results for the quarter. Total sales of $11.6 million, FST, food service technology, recurring revenue up sequentially, little over 15%, despite the loss of a large customer early in the quarter and continued signs of stabilization in our casino and gaming market. So let's go through some of the highlights for FST, again, that food service technology. It had a strong quarter and it's showing early signs of building momentum. We generated total FST revenue of $4.2 million, up 7% year-over-year and 27% sequentially, that would be last quarter to this quarter. Our FST recurring revenue was $2.8 million, up 12% year-over-year and 15% sequentially, mostly on strength from several of our large chains. And despite the loss, again, of the large customer in April that we discussed on our last call. Our FST hardware revenue was flat year-over-year, despite the loss customer, but generally grew sequentially, up 57% from Q1 this year, and in the quarter we sold almost 1500 units -- 1500 terminals. We believe we're starting to see some really success from the reorganization and refocusing of our FST sales group and our go-to-market, GTM. These were key initiatives where we placed a heavy focus last year and continue to fine-tune the process as we go forward. We've got the right pieces in the right places working on selling the right accounts, and this quarter's results reflect the beginning stages of what I consider growing success. We're executing well with the continued focus on the blocking and tackling needed to build our business, and yet I'd like to reiterate that results may continue to be lumpy until we are at some degree of scale, clearly. Yet, however, we are positive about the progress we've made so far. The rollout of the Terminal 2, the BOHA! back-of-the-house automation platform to our international QSR customer that we've talked about, reference on prior calls, continue to be a solid success. As many of you have already seen in June, we announced that we had sold Terminal 2s to 200 Italian locations, marking the fifth new international market that we've garnered. Additionally, we've approved pending but expected for several other international markets representing over 3,500 additional locations, and we have confidence that we'll begin selling into these locations before the end of the year, 2024. These are completely new markets for us that have never, in customers before, necessarily, and never before had BOHA! products in use, meaning that many franchises are recognizing unique benefits and cost savings associated with the TransAct BOHA! platform, more or less for the first time. So we're very excited about that progress. We also announced the new win domestically with Jet Food Stores, a C-store chain in Georgia, which will deploy the Terminal 2 for date code and grab-and-go labeling across 42 locations. One of the major benefits of the BOHA! platform is the ability to stay in compliance with FDA labeling requirements for food -- fresh food offerings. This is a primary focus for this particular client. We've already begun rolling out the terminals and expect to be finished with this rollout by the end of September. We'll continue to receive very positive feedback on the Terminal 2 from both customers and prospects, as we see existing BOHA! customers our users converting from prior generations, the earlier generation of the AccuDate and the original BOHA! Terminals. They're moving to the new BOHA! Terminal 2. So we're very happy about that. And that's great progress. We believe the momentum will continue to build. So it's all good there. We also posted good showing on the new logo line, adding 13 new BOHA! customers in the quarter, representing a potential deployment, approximately 2,800 units total in the future. Additionally, our new pipeline remains strong with the quarter-over-quarter difference in our rolling four-quarter pipeline holding steady, with a slight dip of a little bit less than 10%, mostly at the end of the pipe, in other words, four quarters out. And as we continue to refresh the pipeline with new engagements and new discussions, that four quarters out will begin to grow. And we have plenty of pipe, we have plenty of revenue and potential in the pipe to cover the near-term new quarters out that we can easily see. Moving on to the casino and gaming market, we reported revenue of $5.3 million down a lot from 56.2% from the prior year. But we've been discussing the dynamics around this market for the past several quarters, and primarily in the context of competition and inventory supply. So let me comment first on the competitive side. We've mentioned last quarter we've seen a re-entry into the marketplace from our main competitor. We continue to take the steps necessary to retain newly one market share and are confident that we have fortified our positions well enough to continue to hold on to these market share gains. We are also confident in our strategy and ability to adjust as needed and believe that we are approaching the new status quo. So that's generally pretty good news. And second, on the inventory side, we've pinpointed two particular slot OEMs, one domestic and one international, who are still working through their oversupply situations. These two manufacturers purchased a very large quantities of printers, from us during the supply chain crisis and are still sitting on some units. The other slot OEMs we work with have by now more or less returned to normal supply amounts. So as we move through the year, we believe this dynamic would continue to trend towards normalization. It hasn't happened yet, but we're on the way there. So we're also seeing positive signs around our Epicentral promotion and purchasing systems, such as the two resort women, Macau, we announced in June. This was a blue chip globally renowned casino owner and operator who signed up for a 200 game deployment on their floor. This will allow the floor managers to push promotional offers in real time while the guest is playing. And this allows the casino to extend time on device and player spends on average. So this has a really big ROI for the casino and the casino floor. The system pairs seamlessly with our products, our Epic Edge and our Epic 950 TITO. TITO is ticket-in/ticket-out. These printers increase profits and improve guest satisfaction when they're paired with the Epicentral. So that's really good news and good progress. Next, I wanted to discuss our strategic review process, which I didn't do a good job of on the last earnings call, but I'm trying to get better. So trust me on this. What we last provided was an update in June. And as we mentioned in our earlier release, we have engaged with a number of different outside parties since then and are in various stages of discussions on alternatives. We're going to continue working assiduously on this process until we have determined what an optimal outcome looks like for the company and perhaps more importantly for its stakeholders. Trust us, we're doing everything you'd want us to do. We'll update everyone via the appropriate channels as soon as we have something that we can talk about, as soon as we have something more to talk about. Finally, before passing the call over to Steve for some closing remarks about the financials, I want to discuss our 2024 financial outlook. While we are still maintaining our current total net sales estimate of between $45 million and $50 million for the year, we are raising our adjusted EBITDA guidance to between a negative $1 million and a negative $2 million which is an improvement over the range we provided before, which was a negative $2.5 million and a net to a negative $3.5 million previously. This is due to our success in controlling costs, allowing more revenue to flow to the bottom line than we previously anticipated. So clearly, we feel we're making good progress on the FST side and seeing the first signs from our earlier initiatives. We're pleased with the sequential increase in number of terminals sold, as well as our sequential increase in recurring revenue. Combined with the continued normalization of our casino and gaming business, we're also optimistic about the remainder of the year. So with that, I'd like to pass the call over to Steve for a more detailed review of the financials. Steve?
Steve DeMartino: Thank you, John, and thanks everyone for joining us today. So let's turn to our Q2 financial results in more detail. Our total net sales for the Q2 were $11.6 million, which was up 9% sequentially, but down 42% compared to $19.9 million in the prior year period. Sales from our foodservice technology market or FST for the second quarter were $4.2 million, which was up 27% sequentially and up 7% compared to $3.9 million in the prior year period. Our recurring FST sales, which include software and service subscriptions as well as consumable label sales for the second quarter were $2.8 million, which was up 15% sequentially and also up 12% compared to $2.5 in the prior year period. Our ARPU for the Q2 of 2024 was $722, which was up 9% sequentially, but down 8% compared to $782 in the second quarter of 2023. As a reminder, we are currently selling a number of our BOHA! Terminals with no recurring revenue attached to them to start. While this presents an opportunity to sell recurring elements in the future, for now they represent a drag to our ARPU number. In the first half of '24, a large number of the terminals we sold fell into this category, and we expect this to continue in the near future. We're working on ways to lift this number going forward, but we expect our ARPU to range between $500 and $1,000 for at least the rest of '24. Our casino and gaming sales were $5.4 million, down 56% from the second quarter of '23, primarily due to two large OEM customers working down high levels of printer inventory that they stockpiled during the supply crisis in '23 that's now eased. As John mentioned, we expect these dynamics to begin to normalize as we move through the rest of '24. POS automation sales for the second quarter decreased 40% from the prior year to $1.2 million. This decline was largely the result of difficult comps, as we experienced unusually high sales in '23 due to a competitor's inability to supply product. Our competitors in this market are now fully back online, and we're returning to a more normalized competitive environment. As a result, we're taking steps, including adjusting our pricing, to ensure our products are in line with the new dynamics of this marketplace. Moving on to TransAct Services Group or TSG sales, for the second quarter, TSG sales were down 53% year-over-year to $911,000. This decrease was largely due to unusually high sales of legacy lottery spare parts in the prior year, which we don't expect to repeat at the same level during '24. We also experienced declining sales of our legacy consumable products, which consists of paper rolls and inked ribbons used in our legacy POS printers. Though we continue to take orders for these products from legacy customers, they represent less than 5% of our total TSG sales and are no longer a strategic focus for us. Moving down the income statement, our second quarter gross margin was 52.7%, up slightly sequentially from 52.6%, but down from 54.5% in the prior year period. This comes as a result of lower overall sales volume, including significantly lower sales of our profitable casino and gaming printers, as well as competitive price adjustments in the POS automation market, somewhat offset by favorable overhead cost absorption. Going forward, we expect our gross margin for the remainder of the year to be in the mid to high 40% range. Our total operating expenses for the second quarter decreased by 32% from the prior year second quarter to $6.5 million, which was also down 5% sequentially. Excluding a $1.5 million severance charge incurred related to the resignation of a former executive in the prior period, operating expenses declined by 20% year-over-year. The year-over-year decline came in large part as a result of our previously discussed savings that we achieved from the cost cutting effort we began to put in place late in the third quarter last year. We estimated that these actions would produce operating expense savings of approximately $3 million on an annualized basis, and we experienced the full effect of these reductions during both the first and second quarters of this year. In June, we began another cost reduction initiative, a second one, focused largely on further reducing our headcount and other external third-party resources. We believe this new initiative will generate an additional $2 million of annualized cost savings that we anticipate realizing the full effect of beginning in the third quarter of ‘24. Breaking down our operating expenses a bit, our engineering and R&D expenses for the second quarter were down 28% year-over-year to $1.8 million. Our selling and marketing expenses decreased 18% year-over-year to $2.2 million and our G&A expenses decreased 43% year-over-year to $2.6 million. For the Q2, our operating loss was $438,000 or a negative 3.8% of net sales, compared to operating income of $1.2 million or 6.1% of net sales in the prior year period. On the bottom line, we recorded a net loss of $319,000 or $0.03 loss per diluted share for the second quarter, which compares to net income of $765,000 or $0.08 per share in the year ago period. Looking at our adjusted EBITDA, I'm happy to say that it broke back through breakeven for the second quarter, reaching positive $89,000 which was up nicely on a sequential basis from negative $701,000 in the Q1 of '24, but down from $3.2 million from the Q2 of last year. Taking a quick look at our balance sheet, it continues to remain solid. We ended the quarter with over $11 million in cash and only the minimum required $2.25 million of outstanding borrowings under our credit facility with Siena Lending. And finally, before we open the call up to questions, I wanted to mention that our new upward revised adjusted EBITDA range of between negative $1 million and $2 million for '24 means that the business should be very close to cash breakeven for the full year. We continue to expect to sell down our inventories for the remainder of the year, which we successfully reduced by $1.5 million during the Q2 and now sits at $17.6 million and believe that this, combined with continued strong collections of our receivables, will likely be enough to fund most, if not all, of our projected EBITDA loss for the year. So given these factors, we believe we will easily have enough cash to fund our business for at least the next 12 months. And with that, I'd like to turn the call over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from George Sutton with Craig-Hallum.
George Sutton: John, you mentioned strength from several large chains in the FST segment. I wondered if you could give us a little bit more specificity there. And can you just remind us, the C-store customer was completely out of the numbers going into Q2 relative to Q1? I'm just trying to -- because there was a big lift and I'm trying to understand the dynamic.
John Dillon: Well, one of the larger customers is the large QSR, where we are doing a very good job and engaging with them. So you can factor that in. There was another a couple of other larger clients that won't let us use their names, but they have been buying. The C-store is a net new win, which is nice. They weren't a customer before. It's not huge, but every one of those kind of deals works. And as I've said before, the lion's share of our focus is selling into markets or clients where they have the potential to buy a minimum of 50 to say 100 units. So, most of our focus is there. We do have some onesie-twosies not really that small, but some smaller clients that just insist on having this great technology. But most of the business that's going to move the needle are from large clients that have the potential to buy and then buy more. Our sales model is a land and expand model. And the reason for that is most clients want to see how well the machines work. And we like to joke internally that the machines that we sell are the best salespeople we have in the company, not because our salespeople are a bunch of bums, but because the products just work so dang well, they're very reliable. So once they get in and the clients begin achieving the ROI that they hope to get, and then finally it's confirmed, then they buy more. So we won't necessarily go for huge orders up front because those are those large orders elongate the sales cycle and invite more competition. So generally, we get a smaller order initially and then you're going to see a considerable amount of follow-on business being what you'd call expansion. So that's part of what we were able to do to achieve the numbers we did this quarter.
George Sutton: And then relative to the -- you had pointed out that you had two customers that had high inventory levels and you have identified them. And I believe you've said you met with others who have more normal inventory. I wasn't really sure the point. Are you suggesting you're working with these customers to try to help them offload the inventory or they're just -- they're focused on -- they're not buyers right now just because they're working out their inventory? I just want to make sure I understood the point.
Steve DeMartino: Well, I think the answer to the question is yes, both. We know who they are, we know why they bought more inventory than they needed. They were all concerned about supply chain shortages and if you're making slot machines and these things sell for $25,000 to $50,000 and you can't sell them because you don't have the systems that TransAct provides and the other competitors out is basically on their heels and is missing in action, they needed our systems and they were just really worried. So it's worked out pretty well other than, sort of the shark fin increase in revenue that we had early last year and we're still working back to a normalcy. But we know who they are. We're trying to help them work through that. We have plenty of casinos that say they want the TransAct Technology and not the technology from the other guys. So I guess the answer to your question is yes, they've got to work through the volume of inventory that they have on the shelf, but we're helping them every day to try to make that happen. We know who they are and we have good relationships with them. But when it first happened, we didn't really know where all the inventory was and we have -- so now we have a really good handle on it. That was the point of the -- that we may try to make in the call today.
John Dillon: George, maybe to clarify a little more. So basically, all the OEMs have worked through all through their inventory issues and they're basically back to a normal buying pattern other than those two.
Steve DeMartino: Yes, that was the point we're trying to make is that's an early precursor to normalcy and there's just two left. And once those guys are back to normal, I think you're going to see the numbers as you would have expected pre-pandemic with the growth, the increase in market share that we've predicted that's about 15%.
George Sutton: And relative to the strategic view, I know you can't go into any detail. I will just note that I did look up what assiduously means and it sounds like you're working with great care and perseverance. So I wish you luck with the completion of that.
John Dillon: Thank you. My mom is an English teacher, so it's always my pleasure to introduce a new word to the vocabulary of the masses.
George Sutton: That's my new one for the day. Thank you.
John Dillon: All right. Yes. No, we're hard at work on that. And you all know that we can't talk about anything, but we're doing what you'd want us to do. We're working hard at it. We're looking at lots of different alternatives and things that might make sense. And we just aren't where we've got any news to report. And as soon as we do, we'll report it. And you can just trust that we're doing what you'd want us to do.
Operator: [Operator Instructions] Our next question comes from Jeff Martin with Roth Capital Partners.
Jeff Martin: I was wondering if you could go into and break down the unit placements a little bit more in the quarter, almost 1500 units. Could we get an updated installed base number for the terminals? I know there's some puts and takes. We've got the McDonald's going in, the 7-Eleven coming out and then it sounds like some original BOHA! Terminals were replaced with the T2 or the second version. So help us kind of understand what's going on underneath that 1,500 number and then the total installed base, please?
John Dillon: Yes. Steve, do you want to take that?
Steve DeMartino: Yes. The total installed base at the end of the quarter, Jeff, was 16,411 units.
Jeff Martin: So did 7-Eleven roll off in early April? Just trying to get a sense if there was any recurring revenue contribution from the forward?
Steve DeMartino: 7-Eleven are still in that number that I gave to you, Jeff. So they will trail off as we go through the year. So I would suspect by the end of the year, all of the 7-Eleven units will be out of the installed base number.
Jeff Martin: You broke up a little bit in the early part of that answer. It rolls out slowly over time, is that what you're saying, it rolls off?
Steve DeMartino: So they're going to turn them off over time. So it will trail off as we go through the rest of the year.
Jeff Martin: Okay. Did much of a trail off during the Q2?
Steve DeMartino: Almost all of them were still online at the end of June.
Jeff Martin: And then John, how should we think about terminal installations as we progress throughout the back half of the year?
John Dillon: Installations or sales success or -- can you give me a little more perspective on the question?
Jeff Martin: I mean, it would be great to have your perspective on both installations and bookings, but installations was what I was originally going for.
John Dillon: Yes. Well, when we get a booking, we get money. We're still in one of these modes where when we sell a terminal, the customer pays for it. And then we get the recurring revenue. So right now, the sale of the terminal itself contributes the lion's share of the revenue, because we get that all upfront. Over time, I think maybe there'll be scenarios where we have the whole system being recurring revenue, which is an interesting and intriguing opportunity for us. But right now, to get specific to your question, it depends on the rollout plan. Most of the clients that we have that have a large base of business, they're not going to have a simultaneously rollout in every one of their stores. They usually start out with a handful. And then it just sort of crescendos and you get a sort of steady stream until eventually maybe your process of sort of ceiling, where you've got most of the units installed. And then that's, of course, an opportunity for us to sell software and other services that contribute to the ARPU. And then, there's replacement units because the units wear out. They have to buy more one --more units and the like. So normally, a normal install for us from time of order depends so much on the customer, but it can happen in a matter of a month, but it can also take a few months if they're trying to roll out to multiple stars. And they have a usually the clients have a plan for the rollout. So, I mean from a selfish standpoint, I want the rollouts to be pretty smooth from a resource standpoint so we can staff them appropriately from a revenue standpoint. We usually get the lion share of the revenue upfront and then we'll capture the balance of the ARPU stuff over the next few years. Many of the contracts are most of them are three years. We don't yet report much as it relates to net retention, but that's something that I think we're going to add to the earnings calls in the future where you're looking at ads and deletes. In other words, what's the expansion amount? What's the net attrition? What's the net expansion? And what's the delta between the two? But we don't have we don't have enough history yet to be able to make those numbers meaningful enough to report them. But to your question, how quickly somebody implements how long the customer lasts are all things that should go into the calculus for what the value of the install basis and 16,000 units means there's an awful lot of opportunity. So we're pretty excited about that.
Operator: Our next question comes from Rick Fearon with Accretive Capital Partners.
John Dillon: Rick, are you there?
Operator: Sorry. Rick, are you there?
Rick Fearon : Yes, I'm here. Sorry about that. So, yes, nice job in stabilizing things this quarter, Johnny. I wanted to ask a question about the T2, BOHA! Terminals that are going to the big QSR. And you mentioned that the 200 unit sale in Italy. And then on the heels that you talked about 3,500 additional units, which sounded like international sales as well. Did I hear correctly that is anticipated by year end 2024 so within the next six months?
John Dillon: I think the potential to sell into those new markets once we get the green light will mean that we will move terminals in 2024. It's pretty hard to project at this stage exactly how many that's going to be. But the answer to your specific question is yes, we're going to be selling into those markets in this year.
Rick Fearon : And then once those are in -- is there a recurring revenue component to those? Is there some labels that get printed from that? Or is that just kind of up front sale?
John Dillon: Currently, at this point, there's not a lot of ARPU or almost none on these units but there's the opportunity to sell into those units. So it's potential energy, not kinetic energy yet to get kind of physics on you. We're pretty excited about having those units out there and as we invite product offerings from the software standpoint and other services, we think the opportunities there. It's sort of like getting the camel's nose into the tent. Once the camel's nose is in there, you can work on getting the rest of the camel in and that's an opportunity for us to sell additional software and services. But right now, most of that QSR, they have a pretty specific use case. It doesn't include a lot of additional or any additional revenue from ARPU standpoint. So it's all hardware.
Rick Fearon : Is our sales force, do they have the international reach? I know that a number of these sales come from sort of a larger trade show type thing that McDonald or the QSR does on behalf of the company, but is the sales force in touch with those franchisees regularly?
John Dillon: Absolutely. We just -- we're at the annual event in Barcelona. We were swamped with foreign countries coming by the unit we have. We support things like Portuguese, Japanese, Polish, a lot of different language types with these systems. And it really solves a problem for many of these clients. And as the foodservice industry sort of matures and starts focusing on delivering the information around food service and food safety, many of these clients are very excited about the product. So we had a great event there when and I went personally. Our booth was inundated with people. And one of the interesting things about this particular event is it is only for the vendors and the franchisees. It's not for wannabes and you could actually sell product at the event, so which is very atypical for events like this, and we actually were taking orders in the booth. So to answer your question is the answer is yes. We know these people. They know us. We've got a pretty strong presence in most of these international markets. And the focus that we did with the FST sales team was, I only want you selling to companies that can buy a lot of systems. But in terms of what the potential is, you can look globally and not just in the United States. And so what's happening is they're focusing a lot on the clients that have not just a strong North American presence, but have a presence in international markets and this QSR is an exact a good example of exactly that.
Steve DeMartino: Rick, in the international markets, we also sometimes go through a network of resellers or distributors that are authorized by that QSR. So that gives us a reach beyond just our direct sales people. So those will have contact with them, our direct salesperson with that distributor reseller, so they reach out to the franchises on our behalf. So that gives us more reach and stretch than just our outside team.
John Dillon: Yes, good point, Steve. Absolutely.
Rick Fearon: So the 200 unit sale in Italy, was that the beginning of this brand new market? And so that's kind of the tip of the iceberg and going through 2024 you expect to start breaking into the additional 3,500 that you've targeted?
John Dillon: That's right. I mean, that's what I mentioned on the call was, this was a region where we had no presence before. And so we're very excited about bringing the BOHA! Terminal into the country, and we're excited about the ongoing potential. And of course, whenever you land a client like that, you get other clients to say, well, what are they doing over here? What are they doing over there? And we can say, well, why don't you talk to the folks in Italy. And they'll say this stuff is really awesome. And we think if I were you, I would buy some of it. And so it's sort of like kind of cracking through what might have been a brick wall. And once you get on the other side, it's pretty easy sailing.
Rick Fearon: And domestically, with that QSR, are you seeing similar types of opportunities in that kind of dynamic where you are sort of a trusted partner and put in touch with other potential buyers that are the real deal when you go to trade shows and things like that? Or is this really just an international phenomena?
John Dillon: No, this is the same in the U.S. I mean, we know the large franchise owners, operators and we talk to them. In fact, it's kind of a push and a pull strategy. It's where we have to get the green light from the headquarters that says, we like this technology, we are going to approve it for the use in our operations. And then that gives us, if they do that that gives us a license to go, if you will. It's a license to hunt, kind of. I mean, that sounds kind of funny, like you're hunting but it allows us to engage with the potential customers. But what we do at the same time is we also talk to the franchisees and say, here's a way to do a better job of what you're already doing. It's going to save money, it saves food wastage, it improves customer satisfaction. It complies with health regulations. You probably need to be doing this. And we can help them understand the ROI of the technology and the like. And they basically call up the headquarters and say, we want one of these things. And so that's kind of the push and the pull of it, if you see what I mean. And so we do both.
Rick Fearon: And, John, hats off to you for out there to Barcelona and being part of that. It sounds like each one of those conversations was a meaningful conversation. So in particular, as strategic alternatives are considered, it seems that sort of one-on-one touch the major customers has to be a key component of it so that everyone's. So there's no, people aren't disconcerted by what's going on.
John Dillon: Completely agree.
Rick Fearon: Well, congratulations on a nice quarter.
Operator: There are no further questions at this time. I would now like to turn the floor back over to John Dillon for closing comments.
John Dillon: Well, listen, thanks a lot, everyone. We felt like it was a good quarter. We're making progress. I think that things that we're doing, a lot of its blocking and tackling and staying focused and measuring things and seeing where there's constraints and then removing them. The back office, Steve's team is doing a great job and we look forward to the next call. We've got a couple conferences coming up in the fall. We've got NCSC, the national convenience store conference and we got G2E Las Vegas. So if we don't see you there, we'll see you on the next earnings call. And as always, Steve and I, if you work -- if we plan it, we're happy to spend some time on the phone and talk to you a little bit in person about what's working and what's not and what we can share with you. We're happy to do that. So with that, we'll sign off and wish everybody well on this Thursday afternoon. Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.